Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2011 Western Union Earnings Conference Call. My name is Melanie, and I'll be your coordinator today. [Operator Instructions] I would now like to turn the call over to Mr. Mike Salop, Senior Vice President of Investor Relations. Please proceed.
Michael Salop: Thank you, and good afternoon, everyone. On today's call, we'll have comments from Hikmet Ersek, our President and Chief Executive Officer; and Scott Scheirman, Executive Vice President and Chief Financial Officer. The slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in a supplemental table with our press release. As a reminder, today's call is being recorded and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2010 Form 10-K for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to generally accepted accounting principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by Western Union officers on this call are the property of the Western Union Company and subject to copyright protection. Other than the replay, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I'd would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike, and welcome to everyone on the call. We believe our business is off to a good start in 2011 as we successfully executed against our strategies. We delivered 4% revenue growth, continue to make progress on margins and actively deployed our strong cash flow. Our Consumer-to-Consumer segment continue to produce strong trends as constant currency revenue increased 5% for the second quarter in a row. As always, this business, which is present in more than 200 countries and territories, represents a mix of performances in different markets. Asia Pacific got strong again with a 14% revenue increase driven by both growth across the region. We are also increasing our presence in the region by signing an Asian agreement with China Construction Bank, one of the leading banks in China. We now have over 100,000 Asian locations active in India and China combined. I was in China meeting with agents recently and I can tell you that there is a great excitement about the opportunities for our business. The Americas sustained the improvement realized in the fourth quarter delivering 6% revenue growth. Within the Americas, the U.S. domestic repositioning continue to generate successful results, with domestic money transfer revenue increasing 8%. Domestic transaction growth was strong again, with 21% which was impressive considering the 18% growth a shift in the 2010 first quarter immediately following our repositioning. In the Europe, Middle East, Africa, South Asia region, we saw similar constant currency trends to the fourth quarter in many of the markets, although there was some impact from the political unrest in the Ivory Coast, Egypt and Libya. I also want to take a minute to mention Japan. Although our business is very small there as we are in the early stage of building our brand and network, we, of course, want to help the people of Japan in dealing with this crisis. We have contributed to various efforts to assist in the disaster relief and also offered no-fee money transfer to the countries for a month following the earthquake and tsunami. Now turning to Global Business Payments. Revenue growth was flat as increases in investing business solutions were offset by declines in the Bill Payment business. There was good progress in Bill payments store. The Bill Payments revenue decline continued to moderate, only decreasing 2% and we saw improvement in margins relative to the fourth quarter. We have worked hard on the cost structure of this business, as well as on driving revenue opportunities. We have been aiding new billers and now have access to over 10,000 billers in the U.S. We have been adding electronic billing partnership with providers such as Online Resources and 3i Infotech and implementing improved technology that delivers a better consumer and agent experience. We have also been repositioning all our consumer Bill Payment products under the Western Union brand, which is allowing us to better manage the consumer value proposition to dynamic pricing and marketing. Western Union Business Solutions delivered 13% revenue growth in the quarter. We plan to continue to increase penetration and expense on new markets in B2B to direct online agent and partnership models over the next several years. We will also use innovation to better serve customers such as our recent introduction of a new foreign exchange payment service that allows small and medium enterprise business clients to make payments from their smartphones. Business-to-business cross-border payments remains one of our priority growth areas as the market is large and fragmented, the SME customers are underserved and we believe we can leverage our brand and cross-border expertise and global relationships to gain share. We also made further progress on our other strategic initiatives. In electronic channels, which include westernunion.com, account-based money transfer and mobile money transfer, revenue increased over 20% in the quarter and presented 3% of the total company revenue. Account-based money transfer services with 25 already activated, one of our recent agreements with Emirates National Bank of Dubai where we will offer account-based money transfer through online banking, mobile phones and ATMs to account holders in the United Arab Emirates. Also, in the EMEASA, we have just launched another ATM-based money transfer service with the Bank of Georgia. In Asia Pacific, we have activated online service with seven banks in Japan, and this summer, we will offer money transfer service through the bank's 15,000 ATMs. In the Americas, we recently signed with U.S. Bank, which is already are working agent to offer online banking money transfer to their customers. By the way, this is our first such agreement with a top 10 bank in the U.S.. For bank account holders, we're seeing account-based money transfer as a great service to easily initiate transfers from home and connect to our global network of agent locations in more than 200 countries and territories where we're seeing and we believe these are great opportunities to gain new consumers, as well offer more choice and convenience. Westernunion.com which is available in 20 countries have transaction growth in international markets over 40% while global transactions increased by 15%. In mobile money transfer, we continue to position ourselves to be at the center of the cross-border mobile money transfer infrastructure as it develops. We have 16 agreements in place with mobile network operators and banks and over 85,000 of our agent locations in 49 countries are enable to provide cash to mobile service. We recently expanded our services so far comes from subscribers in Kenya and we signed a master agreements for mobile money transfer with Etisalat Group, a leading mobile operator in 18 countries across Asia, the Middle East and Africa. In prepaid, we increased our cards-in-force in the U.S. to over one million with retail distribution at over 10,000 locations. In the quarter, approximately $180 million of principal was loaded on to Western Union prepaid cards through over 500,000 loads. We will also launch prepaid cards in some international markets in the second half of the year, with the U.K. being of the first priorities. So overall, I feel positive about the start to the year. The Consumer-to-Consumer business continue to recent favorable trends as we increased our agent locations to 445,000. Our efforts to improve Bill Payments and expand the margins are starting to pay off. We're seeing in Business Solutions delivered solid growth and we made further strides with the development of electronic channels and prepaid. Excluding charges, we draw margin improvement, thanks to revenue growth, restructuring activities and other efficiencies. We continue to generate and deploy strong cash flow as we returned almost $570 million to the shareholders through repurchase and dividends in the quarter. And in April, we completed the acquisition of a leading European super agent. Now given the first quarter results and our current expectations for the remainder of the year, we feel confident in affirming the full year financial outlook provided in February. Before I turn the call over to Scott, I want to review our recent organization announcement. As you know, I became President and CEO in September and had been working on developing the right organization to best drive our key strategies. We made some changes last year, heading an executive [ph] to responsible for new products and services and streamlining some positions. We have not further redefined responsibilities and expanded the roles of several members of the executive team. I am pleased that Stewart Stockdale has taken the position of Executive Vice President and President, Global Consumer Financial Services. Stewart is now responsible for all of the company's regions and agent network, leading the core consumer money transfer service and the Bill Payments business. We have a strong team of regional leaders with great track records that report to Stewart. This group includes: Jan Hillered for Europe and CIS; Jean Claude Farah for Middle East and Africa; Drina Yue for Asia Pacific; Victoria Lopez-Negrete for North America; and Odilon Almeida for South America. I think you all know the great accomplishments Stewart and his team has achieved in returning the Americas business to growth. Taking on Bill Payments and jumpstarting our prepaid efforts and I do look forward to Stuart now taking on a global leadership role. David Yates, who is our Executive Vice President and President of Business Development and Innovation, has responsibility for the design, development and implementation of all our new products and services. This includes rescuing business solutions, electronic channels and start value programs, including prepaid. David has extensive experience in the payments, banking and IT space and David's team will be a great driver of our key strategic initiatives of expanding electronic channels and developing new products and services. And finally, Diane Scott, who had been responsible for marketing in the Americas, has been promoted to Executive Vice President and Chief Marketing Officer. Diane has been an integral part of our success in the Americas and is now responsible for strategic global marketing, as well as communications and social responsibility. I am confident these changes will help guide Western Union to the next level of success and drive our key strategic initiative of growing retail channels, expanding electronic channels, developing new products and services, and improving process and productivity. Now to give you a more detailed review for the first quarter -- of the first quarter results, I would like to turn the call over to Scott.
Scott Scheirman: Thank you, Hikmet. Overall, for the quarter, we delivered consolidated revenue growth of 4% on both the reported and constant-currency basis. Transaction fee revenue increased 3% while foreign exchange revenue grew 8%. Within C2C transaction fee revenue increased 4% and foreign exchange revenue grew 7%. The consolidated revenue growth was driven by continued solid trends in our Consumer-to-Consumer segment and Western Union Business Solutions and further moderation of the revenue declines in our Bill Payment business. Our Consumer-to-Consumer segment revenue increased 5%. Constant currency revenue growth was also 5%, which was consistent with the fourth quarter. Transaction growth in our C2C segment for the quarter was 7% which compared to 9% in the fourth quarter. The transaction growth rate change was primarily due to the disruptions in the Ivory Coast, Egypt and Libya, and the more challenging comparisons from prior year, our U.S. domestic money transfer transaction growth. The company's C2C cross-border principal increased 7% in the quarter or 6% on a constant-currency basis. C2C principal per transaction increased 1% year-over-year on both the reported and constant-currency basis. This represented the first quarterly principal per transaction growth over two years. In the international C2C business, revenue also grew 5% on both the reported and constant currency basis, with transaction growth at 5%. Turning to the regions. Our C2C business in Europe, Middle East, Africa and South Asia region grew revenue at 2% on transaction growth of 4%. Reported revenue growth improved in the fourth quarter primarily due to the strengthening of the euro. The transaction growth rate declined two points compared to the fourth quarter due to the impact of the Ivory Coast, Egypt and Libya, which individually are 1% or less of total company revenues, but added together, they impacted growth. Currently, most of our network in Egypt is back in operation and there are indications our agents in the Ivory Coast may be reopening soon, although Libya is largely remains closed. Constant currency revenue trends in Europe were similar to the fourth quarter, with growth in large markets such as Russia, Germany and the U.K. The Gulf states delivered overall transaction in the revenue growth for the second consecutive quarter, while India revenue increased to 8% on 6% transaction growth. Last week, we completed the acquisition of the remaining 70% interest in one of our leading super agents in Europe, Angelo Costa, for cash consideration of approximately $140 million. As we stated in December, this acquisition will allow us to more directly access our network locations and be closer to our consumers, as well as more quickly introduce new products and services such as prepaid cards. We will also be able to optimize commission rates and achieve operating efficiencies by leveraging our European infrastructure, including the infrastructure attained through the FEXCO acquisition in 2009. We have begun the integration of Angelo Costa as we mentioned on our February 1 earnings call, we expect about a net $0.01 benefit to 2011 EPS from the acquisition. The benefit results from the reporting of the gain on our previous ownership interest, partially offset by a slight dilution from integration costs. The gain will be reported in the second quarter. We also continued to make progress with our retail agent expansion in Europe. We now have over 2,500 retail locations activated since the passage of the Payment Services Directive and are seeing good productivity at these locations. We are on target for European retail revenue of approximately 1% of total company revenue for 2011. Turning to the Americas region. We continued to see success from the U.S. domestic repositioning, as the Americas region delivered a revenue increase of 6% on transaction growth of 8%. Domestic money transfer revenue increased to 8% on transaction growth of 21% in the quarter. Domestic is delivering solid revenue growth, although we expect the transaction growth rates to moderate as we anniversary last year's large gains. We expect to see domestic revenue growth in 2011. Also in the region, Mexico transactions and revenue each increased 1% in the quarter. Mexico trends have stabilized the last few quarters, but we have modest expectations for this business until we start to see more substantial job creation in the U.S. The Asia Pacific region delivered revenue growth of 14% on an 11% transaction increase. There were once again many markets across Asia Pacific contributing to the growth, with China posting increases of 12% in revenue and 5% on transactions. For the overall C2C business, the spread between transaction revenue growth in the quarter was two percentage points with no impact from currency. The spread was equally split between pricing and mix and narrowed from the fourth quarter as both impacts declined. For the full year, we continue to expect price decreases in the 2% to 3% range. Moving to the Global Business Payments segment. Overall revenue was flat, the Bill Payment business declined moderate to further with a revenue decrease of 2%, while Western Union Business Solutions revenues increased 13%. In Bill Payments, continued strong international growth and increases in electronic payments drove the improvement. Western Union Business Solutions is on track for the expected mid-teens revenue growth for the year and benefited from increases in online revenue. Turning to margins. The first quarter consolidated GAAP operating margin was 24.4%, excluding restructuring charges, the consolidated operating margin was 26.3%. The margin, excluding restructuring charges, improved approximately 70 basis points from the same period last year as revenue leverage and operating efficiencies, including restructuring savings, more than offset some negative foreign change impact in increased investment spending. We recorded $24 million of restructuring charges in the quarter related to our previously announced programs. Approximately $7 million of the charge is included in cost of services and $17 million is in SG&A. These charges are not included in our segment operating results. We realized approximately $8 million of savings from restructuring activities in the quarter. For the full year, we continue to expect approximately $50 million of pretax restructuring charges and approximately $50 million of related savings. The tax rate in the quarter was 23.5% or 24.1% excluding the impact of the restructuring charges. This is consistent with our full year expectation of 24% to 25%. Earnings per share in the quarter were $0.32 or $0.35, excluding restructuring charges. GAAP EPS was $0.30 in the first quarter of last year. Our C2C segment operating margin in the quarter was 28.6%, an increase of 120 basis points over the same period last year. The increase was driven by the same factors that favorably affected the consolidated margins. Global Business Payments operating margin was 16.5% in the quarter, which compared to 20.7% in the first quarter of 2010. The margin declined compared to last year primarily due to revenue decreases and mix shifts in U.S. Bill Payment and additional investments in Western Union Business Solutions. The margin increased 320 basis points relative to the fourth quarter's 13.3% as a result of lower integration costs in the Western Union Business Solutions and the restructuring savings and other costs structure changes in our Bill Payment business. As a reminder, we expect Western Union Business Solutions to be non-dilutive to earnings for the full year. Moving to our cash flow and balance sheet. First quarter cash flow from operations was $252 million and capital expenditures were $22 million. At quarter end, the company had total debt of $3.6 billion and cash of $2.2 billion, of which approximately $1 billion was outside the United States. In the quarter, we issued $300 million of a two-year floating rate debt. As a reminder, we have approximately $700 million of debt maturing in November 2011 that we planned to refinance. We are active with capital deployment in the quarter. We spent $525 million to repurchase 25 million shares or 4% of the total shares outstanding at an average price of $20.95. We also paid $45 million in quarterly dividends. As of March 31st, we had $890 million remaining under our stock repurchase authorization which expires on December 31, 2012. Given the solid start to the year, we are comfortable with the full year 2011 financial outlook we've provided on February 1. Our 2011 full year outlook calls for: constant currency revenue growth in the range of 3% to 4%; GAAP revenue growth similar to constant currency; GAAP operating margin expansion to approximately 26% in 2011 compared to 25% in 2010; operating margin expansion to approximately 27% in 2011, excluding restructuring charges compared to 26% in 2010; GAAP EPS of $1.41 to $1.46, including $0.06 of restructuring charges; EPS of $1.47 to $1.52, excluding restructuring charges; and GAAP cash flow from operating activities of $1.2 billion to $1.3 billion. At this time, we have not changed our foreign exchange rate assumptions compared to our February outlook. As a reminder, on a full year basis, each 5% move in European currency impacts revenue by approximately $55 million, but pretax operating profit by only $7 million due to our hedges. In summary, the results for the first quarter were solid. The sustained momentum in our Consumer-to-Consumer segment, moderating revenue declines in Bill Payments and solid growth in Western Union Business Solutions. We made further progress on our strategic priorities and we have strong deployment of capital, returning almost $570 million to shareholders through buyback and dividends in the quarter and completing our European super agent acquisition earlier this month. Operator, we are now ready to take questions.
Operator: [Operator Instructions] And our first question comes from the line of Adam Frisch with Morgan Stanley.
Adam Frisch - Morgan Stanley: Hikmet, I wanted to ask you how much of the next leg, to whether the revenue growth acceleration and/or margin expansion will be driven by company-specific initiatives, and how much is relying on the macro settling down and becoming steadier? And the reason I'm asking the question is because the uptick in the principal per transaction that picked up a little bit in the quarter for the first time in eight, so I'm just wondering what that will do, too?
Hikmet Ersek: Adam, if you look at our business, the beauty of our business is being in the 200 countries, and obviously, being on 16,000 corridors has the different dynamics of the business. Some parts of the corridors have different pricing, some parts of the corridors have different dynamics. But generally, I feel comfortable with the outlook. I believe also that migration will continue. I believe also despite the crisis which happened recently in the Middle East, we are very positioned to be so far business being in 200 countries, it carries funds of different prices, differently. So overall, I would say that from business wise, I am satisfied. Besides that, having 445,000 locations, being in 200 countries and having such a strong brand gives us also specific -- we can also the specific activities on electronic channels, I'm pleased with our current development on electronic account-based money transfer which uses from Account-to-Cash gives us a very good position. And the other thing is also we have now 3% on electronic channels, our westernunion.com is growing very good and I believe also we are and very well-positioned. Do you want to add something? The only thing I'd add, Adam, in the near-term for 2011, we don't expect the economic environment to be substantially better or worse. It's about the same but our objective no matter what the economy is to continue to gain market share as we move forward, whether it's in the core money transfer business where we have a 17% share, or in our newer opportunities that probably play out over the next couple of years, whether that's prepaid, free at the electronic channels, but we think we really can control our destiny as we move forward.
Adam Frisch - Morgan Stanley: Okay. And if could just follow that up with one more, in terms of flexibility on the marketing spending, let's say things do to take a turn down on the macro scene and the economy starts to sputter again around the globe whether be geopolitical reasons or what have you, if you want to preserve the bottom-line growth in terms of a steady operating margins and EPS at revenue growth decelerates, or even accelerates at a slower rate, do you have the flexibility there? Are you managing, if push comes to shove, are you managing for operating margin or are you managing for revenue growth?
Hikmet Ersek: Well, I think obviously, we are really much focused for the health for the business. I think we are a global brand, ever and as our expansions continue to grow, I mean we have 445,000 locations now, and we kind of continue to add new locations investor. We are going to invest in our brand's awareness. We're going to continue to invest also in the new initiatives. I think we are affirming our outlook for the year. We are very well-positioned to affirm our outlook and confirm our outlook, which we gave in February.
Operator: Our next question comes from the line of Bryan Keane with Credit Suisse.
Bryan Keane - Crédit Suisse AG: I just wanted to talk a little bit about the Europe, Middle East, Africa and South Asia corridor. The transaction growth moderated there a little bit, went from, I think 6% in the fourth quarter and transactions to 4%. Was that entirely, when you look at it, is that entirely due to some of the disruptions in the Middle East? I think you mentioned Ivory Coast, Egypt and Libya?
Scott Scheirman: Bryan, this is Scott. I would say on the EMEA division, if you will, what primarily impacted the transaction growth rate would be Libya, Ivory Coast as we move forward, including Egypt. But frank want to remember too, that as we think about the C2C business although transactions moved from 9% in the fourth quarter to 7% in the first quarter, the constant currency revenue growth in our C2C business which is about 85% of our revenue was 5% in both quarters, so very strong, very stable. And in the C2C business, we were able to drive 120 basis points of margin expansion. With that said, Egypt, we're back up and running in that market there. Ivory Coast, we expect to be soon, hard to say for certain, but we expect to be soon. And I would say Libya was still down but compared to the other two markets, and important market, but it is much, much smaller than the other 2 markets.
Bryan Keane - Crédit Suisse AG: Any impact at all, any spillover into the UAE or Saudi Arabia that you're seeing from this political unrest?
Scott Scheirman: Not really. We did see in the Gulf States in the first quarter both positive transaction in revenue growth, exactly what we saw in the fourth quarter. So those markets continue to perform nicely. We've had modest expectations for the Gulf States in 2011, But Q1 pulled through very consistent with the fourth quarter with positive transaction revenue growth.
Hikmet Ersek: And also, recently I've been to the Middle East. I have to say that our position is there pretty well there, Bryan.
Bryan Keane - Crédit Suisse AG: Okay, terrific. Last question for me. It was great to see the margins bounce a little bit there in the Global Business Payments division. What do we expect, Scott, maybe going forward, is that -- should it bounce around that 16.5% level or will there be some shocks to that in the margin as we go forward?
Scott Scheirman: Bryan, in that business, we're really focused on a number of things. Clearly, we want to, with the U.S. Bill Payment Business is to continue to get the revenue declines to moderate, the revenue was down 5% in the fourth quarter, it was down 2% in the first quarter. So we're making progress. We want to continue to make that progress there. In addition, as part of that segment, is Western Union Business Solutions. With that business grew 13% and we expect to grow it mid-teens. So the combination of working to get the top line going north and not south is going to be helpful. What we've also signed on more billers, we're now up to 10,000 billers in that business that I think will be helpful to us and then we're very focused on the cost structure there. Western Union Business Solutions will not be dilutive in 2011, so the profitability profile will get better. But the objective on a consolidated basis is really to grow our margins to 27% which should be up about 80 basis points compared to 2010. So we think the combination of what we can do with Global Business Payments and then our C2C business which is about 85% of our top line, the revenue growth, the restructuring, some pushback for investment in the future, we can drive margin expansion in the business.
Operator: Our next question comes from the line of James Kissane with BAML [Bank of America Merrill Lynch].
James Kissane - BofA Merrill Lynch: Scott, can you provide a little more color on the spread between domestic revenue and domestic transaction, I mean and the spread definitely narrowed but seemed pretty wide and you anniversaried the price cuts in the fourth quarter. So just a little more color there.
Scott Scheirman: Yes, Jim, we still do have some spread there. We had 8% net revenue growth on the 21% transaction growth in the quarter and that's a business that carries a 30% margin, so we like that the revenue growth profile there. If you recall, we implemented the $5 for $50 program midway through the fourth quarter of 2010, so we still have some lapping of that as we move forward. I do expect that, that spread will probably narrow as we move throughout the year, we do expect that business, domestic money transfer to have revenue growth in 2011.
James Kissane - BofA Merrill Lynch: Okay, great. And just given the large buyback, is it safe to assume and you see better value in your stock than in potential M&A transactions?
Scott Scheirman: Jim, I would describe it as that as we think about our cash in our cash flow priorities. Clearly, our first two priorities are to invest in the business and to acquire good companies and as we acquire companies, we look at those strategic fit in the right cash-on-cash economic returns. But a close third priority is, clearly returning cash back to our shareholders. So given the $1.2 billion, $1.3 billion in cash flow we anticipate, we have over $2 billion of cash in our balance sheet, that really gives us the flexibility to do a number of things. So as we move throughout the year, we'll prioritize our capital deployment in those terms. But we are pleased with the $525 million that we bought back and we still have $890 million left under the authorization.
James Kissane - BofA Merrill Lynch: Okay. And if I can get one last question, just maybe the performance of FEXCO, now that you control it versus the super agent relationship or arrangement you have?
Hikmet Ersek: I'll -- I mean, I think we are pleased with our performance in our businesses in Europe. We do have direct access now to the subagents and our brand awareness, our service quality is increasing. I think also it has, it affects the acquisition as within our business plan and also, I am very excited about the recent announcement with Angelo Costa. If you combine FEXCO and Costa together and beat the PSD incentive [ph], I think they have the right treasuries to expand our business in Europe.
Operator: Our next question comes from the line of Julio Quinteros with Goldman Sachs.
Julio Quinteros - Goldman Sachs Group Inc.: Just real quickly, Scott, on the conversation you made about margins expanding for the year, I apologize if I missed this, but did you give any clarity on where you thought the Consumer-to-Consumer segment margins would be relative to the Global Business Payment margins this quarter, 28.6 1/2%?
Scott Scheirman: Yes, not specific, Julio. We're going to -- our objective is to expand our margins to 27%, so clearly, I'd see the C2C margin since they're 85% of our top line, those margins will grow in 2011. And compared to the fourth quarter, our Global Business Payments where we did have a 13% margin which were 16.5% in the first quarter, we want to improve those margins as we move through the year. Clearly, getting the top line stabilizing that, getting the revenue to find some moderate will be helpful. But when you think about the C2C business, that's a majority of our top line and those margins were up 120 basis points. We feel like we've got a business model that with revenue growth we can drive margin expansion.
Operator: Our next question comes from the line of Ashwin Shirvaikar with Citigroup.
Ashwin Shirvaikar - Citigroup Inc: My question is, I guess, on pricing, and did I hear you right, pricing down about 1% in the quarter and if that's the case, then if you're still holding to pricing being down, call it, something approaching 3%, is that potential for upside down the road or is that an investment in growth that you think you're planning?
Hikmet Ersek: Ashwin, if you look at -- from a strategic point of view, if you look at our resale but generally our pricing and business was of around 2% to 3%. And I think we are staying within this guidance. And don't forget that our biggest price investment was about 15, 16 months ago, Scott, right? It was the DMT money transfer which is our biggest corridor, so-called corridor because business within that corridor, U.S. domestic money transfer. Despite that, we're going to continue to invest in the pricing, looking at corridors within the 2% to 3% pricing that many as I think the right direction. It depends on the form from quarter-to-quarter from the promotions we do it and also watching where we can gain market share.
Ashwin Shirvaikar - Citigroup Inc: Okay. And in the Global Payments business, obviously, a very good improvement, much better than we expected there. But should we continue to look for slow steady improvement or is there something structural that you can do that is more in the nature of a more permanent fix?
Hikmet Ersek: I think if you look at the Global Business Payments, the sector, we are very focused on our U.S. Bill Payment business. I think the revenue declined moderated there to minus 2% and but the team is doing a great job there. We consolidated under Stewart Stockdale' team and we are really very focused on getting new billers. We have now to our aggregators of about excess to 10,000 billers. And this is a definite loss of diversifying our portfolio of the top line. But we also focus on the bottom line to expanding your margins. And I'm very optimistic and also the business solutions part having 13% revenue growth, it's quite within our guidance saying that always we want to achieve the 10s revenue growth. So I am pleased with the results there.
Operator: Our next question comes from the line of Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research: I understand about the domestic growth business, you said transactions should moderate and that makes a lot of sense, but looking at the revenue growth you had in the first quarter, would it be accurate to assume that, that business can at least grow mid-single digits for 2011?
Scott Scheirman: Kartik, we haven't provided any specific color on that other than we believe in 2011, domestic money transfer revenue will grow with 7% in the fourth quarter, 8% in the first quarter revenue growth. We're off to a good start. We like what we're seeing. And as I mentioned earlier, the business has got 30% plus margin. So we're going to keep working hard at that business, but we like where it's heading and what it's doing.
Julio Quinteros - Goldman Sachs Group Inc.: When you talked about Bill Payment business and since the ability to sign billers and it seems as though that business has enough potential to get better, as you look at that business, is this that you just need to sign more billers? Or is this more of the economy just needs to keep continuing to get better for that business to really turn around?
Hikmet Ersek: I think it's a general answer here. It's a general question. I would say generally both, right? I think the economy has helped here also but also our efforts the team is really very focused to signing new billers under their focus on the top line. But also, as I mentioned before, they're focused on the bottom line and I think the team is doing a good job here.
Kartik Mehta - Northcoast Research: But I guess, my question was more, how much control does Western Union have? You seem to have executed better in that business and the business is moving in the right direction. But what I'm trying to figure out is, how much more control Western Union has and how much at some point you just have to rely on the economy getting better?
Hikmet Ersek: I think we are focused. Just -- if you think about our business, Bills Payments business, the consumer business, part of our consumer business under Stewart leadership in the global consumer leadership, I think we have some synergies here. We found that our sales force are on the road, approaching dealers, approaching our agents and we are increasing the service systems but also definite that the economy's helping us also.
Kartik Mehta - Northcoast Research: And then last question, what impact, if any, would you anticipate on the business from increasing gasoline prices, whether its impacted the domestic business or more revenue going into the Middle East that could create more projects and more immigrant flow there? Just your thoughts on impact on what's happening to oil and gas prices.
Scott Scheirman: Kartik, this is Scott. I'd say all those things, that it's hard to tell for certain. But if I look at our customer profile, their objective is as they migrate from 1 country to another to support their families back home, whether that's for rent, medicine, school, or whatever it might be. So their goal is always to remit as much money back as they can to their home country. And so as we saw the international principle per transaction, it was up 2% in the first quarter, it's best to spend it in a couple of years, not necessarily declaring victory on that yet, but we like the trends we're seeing there. But my sense of for our customers, their spend on gasoline is probably a very, very small of their disposable income. So I think their goal is to get money back to their customers, to their loved ones.
Operator: Our next question comes from the line of Andrew Jeffrey with SunTrust.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: As you look at the restructuring efforts you're making this year, Scott, as you look out, say, to the future years, '12, '13, do you think there are sustainable cost savings associated with that, that are going to be an important part of the long-term margin drivers for the company?
Scott Scheirman: Andrew, I would describe it as that, we've taken actions that will save about $50 million in operating expenses in 2011 and then about $70 million in 2012. So we really like the progress that we've made. One of our key initiatives is improving our processes and productivity to ensure that we have efficient operating structure, that we're providing outstanding service to our customers, our agents that were able to effectively launch our new channels and so forth. So all the things that go along with strong processes and productivity. So as we move forward, as we think about our business model and margin expansion that we believe the business model will set up to drive margin expansion in that, revenue growth will be helpful to that process productivity, the restructuring savings being operationally excellent and then offsetting some of that would be investment back in the business to drive the top line. But in summary, we think just all of those initiatives will be helpful as we move forward.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay. And Hikmet, could you clarify or elaborate on the comment in the press release about U.S. Bank? I know one of your efforts has been Account-to-Cash with the big U.S. banks and maybe that has developed a little more slowly than you would have liked. Is the U.S. Bank signing a step in that direction, specifically? And then how would you characterize the pipeline of deals like that?
Hikmet Ersek: Having the beauty of our business having 445,000 locations globally, the cash pay outside, right? I think nobody can match that one. And connecting a console does meet 445,000 locations globally in minutes, it's a huge opportunity. We signed 45 banks globally. I think 29 of them we activated, Scott, 29 of ...
Scott Scheirman: 25 of them.
Hikmet Ersek: 25 of them we activated. We connect to direct to our host. The beauty of that is you got your constant electronic the money to 445,000 locations. Now the U.S. Bank is one of the first top banks globally and we are very pleased with that state. Also account holders can connect that to 455,000 locations globally. They can connect that. So I think they are more on the pipeline and I am very optimistic on that side.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay. All right, and then one last quick one, Scott, housekeeping wise, looks like you bought back a lot of stock toward the end of the quarter. What should we think about as the fully diluted share count in the -- currently, I guess, or at the end of the first quarter?
Scott Scheirman: The input I would give you, Andrew, is, as we think about deploying our cash flow, we'll invest in the business, acquire companies that are strategically the right fit and have the right cash and cash economic return. And then we want to deploy capital to our shareholders through stock buyback and dividend. And I haven't provided any specific target externally. And the reason being is, I just want to keep the flexibility as we deploy our cash flow of what's the best way to use utilize our cash flow and our cash for our shareholders as we move forward. But we were active in 2010 in buying back stock. We've been active in 2011 and we still have $890 million available for stock buybacks through December of 2012.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Right. I appreciate all that. I'm just wondering if you could tell us what the share count is currently?
Scott Scheirman: When we file our 10-Q, you'll be able to see it at that point in time, of what are the outstanding shares, I'll probably just have you wait for them.
Operator: Our next question comes from the line of David Togut with Evercore Partners.
David Togut - Evercore Partners Inc.: Is agent productivity increasing or decreasing in the C2C business on a global basis? And can you discuss Asian productivity by the three major geographic regions?
Hikmet Ersek: Sure, David. As you know we have currently 455,000 locations and we're going to continue to add and expand our agent locations globally. It seems on the field are working very hard from that. I'm fairly pleased in our recent activities in South Asia, Asia and also in Europe with our new retail locations. But if you look at our business, you have to differentiate between send and receive sites. Obviously, our productivity is different on the send side with ethnic locations, with post office locations on the receive side, also on the different dynamics here. But generally, adding location means also adding transactions, getting more access to the consumers, gaining market share and getting new consumers at the time. We are targeted as gaining market share as we have 17.4% market share globally on remittance market and I'm going to continue to expect that.
David Togut - Evercore Partners Inc.: So is agent productivity increasing or decreasing?
Hikmet Ersek: I think, we never talk about the specific number here but I'm very pleased with our current agent productivity.
Scott Scheirman: The other thing I would add is, if you do the simple math, David, it's been about the same in the first quarter, if you will, but if you think about it as we add locations, we added about 10,000 locations in the first quarter, many of those were actually in Asia Pacific, in particular, India. But what's important about the business model is both the send side and the receive side. So as you think about productivity, we also have to take into consideration the send transaction overseas and having that right receive network is very helpful to send transactions to.
David Togut - Evercore Partners Inc.: Thank you.
Operator: Our next question comes from the line of James Friedman with SIG.
James Friedman - Susquehanna Financial Group, LLLP: Thanks for taking my question. I wanted to ask just for some clarification with regard to the principal per transaction increasing 1%. Does that -- two questions here -- does that include the electronic channels which are now up to 3% of total revenue? And if you could share some color on the behavior of those electronic channels when you think about the principal per transaction that's actually moving.
Scott Scheirman: Yes, it does include the electronic channels and just to highlight that the C2C principal per transaction was up about 1%. If you segment that just to be international business which is about 70% of our revenues, that was up about 2% for the quarter, if you will. Today, the international -- excuse me, Electronic business became 3% of our top line, it grew by about 20% in the first quarter. But as you think about that, it's just a very still a small piece of the total C2C business today.
James Friedman - Susquehanna Financial Group, LLLP: Okay. And then if you would, looking forward, which regions or corridors would you anticipate will drive C2C transaction growth this year? I know you don't always get that grade up, but like for China, we have the 14%. Is that the market or is that your presence, India, China, you're up to 100,000. Which of these corridors do you think are going to be the major drivers of growth this year? Thanks.
Hikmet Ersek: I think Asia Pacific is definitely an opportunity for us. The 14% you refer is basically as a region for Asia Pacific I guess and the 100,000 locations are combined India and China. We will continue to focus on Asia Pacific? On the Stewart Stockdale leadership Drina Yue leadership, the team is doing a pretty good job there in China. We signed another major bank, it's the China Construction Bank, which gives us even more locations there. And I recently was in China, was in China, I have to say that the team and the agents are very motivated about our business, not only on China, I would say Asia Pacific generally is a huge opportunity and compared with the general market share, I think they are still below the market, we can expand our market penetration and become again market share there.
James Friedman - Susquehanna Financial Group, LLLP: Thank you, Hikmet.
Hikmet Ersek: Thank you.
Operator: Our next question comes from the line of David Parker with Lazard Capital Markets.
David Parker - Lazard Capital Markets LLC: Thank you. I was just hoping you could possibly expand on some of the announcements you had during the quarter, specifically just expanding your distribution channel and prepaid with your partnership with income and then also with your bill payment with your relationship with Kmart.
Hikmet Ersek: Sure. I think we are having now about inventory income design. We are very pleased with that relationship with income. That gives us the availability to sign more location to distribute our prepaid cards. We are currently, it's in the beginning stages though income we will have direct access to the retailers which we're going to continue to sign them and we are at 10,000 locations to distribute our prepaid cards. On the Bill Payments business, we are signing more and more billers. Also through our aggregators, we have access to 10,000 billers now. We recently had 5,000 and now it's 10,000. Scott, is that right?
Scott Scheirman: Yes, that's right. And what I'd add on Kmart, Kmart's a very important retailer in the U.S. as everybody knows and now they're taking on our comprehensive suite of Bill Payment solutions. So whether you need to make an urgent bill payment in five minutes or then the next day one, they've got a comprehensive suite of bill payment solutions that are granted Western Union and Kmart has been a really nice partner of ours for many years.
Hikmet Ersek: And this kind of retailer is important, they have traffic and I think our brands there earlier would drive really attractive to that retailers and they sit besides making billed payments and money transfer also selling the other products in their retail shops.
David Parker - Lazard Capital Markets LLC: Okay, thanks. And then just on a different note, with the Obama administration looking at or potentially looking at immigration reform, are you guys doing anything proactively or any thoughts on that topic?
Hikmet Ersek: I think we are definitely -- and as we do in every country, also in the U.S., we definitely talk with regulators and with governments. We are actively and hand-in-hand talking about that and we are constantly in contact with that.
David Parker - Lazard Capital Markets LLC: Okay, great. Thank you.
Operator: Our next question comes from the line of Craig Maurer with CLSA.
Craig Maurer - Credit Agricole Securities (USA) Inc.: I just wanted to follow up on the discussion of prepaid. I wanted to know how, well, if it's -- if you have data yet, on how the prepaid cards might be impacting customer loyalty and what the spend rate is on those cards once they're loaded? Thanks.
Scott Scheirman: Sure. The number of the prepaid cards have been prior loyalty cardholders and what we do know about loyalty cardholders that the retention rates and frequency rates are higher from that standpoint. As we look at the Prepaid business, it's very early days now. We do have a million prepaid cards in force, but we are seeing some good consumer behavior around point-of-sale, utilizing for ATM withdrawals and so forth, and then, as you saw in the quarter, we have 500,000 loads onto those cards. So it's early to have comprehensive statistics on this, but the early ratings are, we're getting good usage out of the prepaid cards.
Craig Maurer - Credit Agricole Securities (USA) Inc.: And what are the --- I don't remember if you mentioned it, but what the economics are on the loads?
Scott Scheirman: It depends how the customer loads the card. Our value proposition is pretty friendly, so that if you go to one of our 50,000 locations in the U.S. to load the card, we would charge $4.95. Some of those economics pass back to the agent. We keep some of those economics. But if they do a direct deposit, then there's no fee to the customer and then really, the deal we've struck with the card issuing bank as a lot of the economics pass back to us and the position is to be really be fee friendly and the goal as with our customers is we want to retain them over two- or three- or four-year period.
Craig Maurer - Credit Agricole Securities (USA) Inc.: Okay. And if I could just ask 1 more question, has the CFPB engaged you yet? What will eventually be a study of the industry?
Scott Scheirman: Yes. We're in contact with the staff there. We've had meetings. We will have meetings. And then Hikmet can share more with you on some of his initiatives there.
Hikmet Ersek: I think are very close in contact with them. I am meeting them also, the meetings are set up. I think, we are openly discussing with them with all these initiatives. So I think we are in contact with them.
Craig Maurer - Credit Agricole Securities (USA) Inc.: Thanks.
Hikmet Ersek: Yes.
Scott Scheirman: Sure. Thanks.
Operator: Our next question comes from the line of Chris Mammone with Deutsche Bank.
Christopher Mammone - Deutsche Bank AG: Thanks. I guess first, what was the growth rate in the investment spending year-over-year during the quarter?
Scott Scheirman: Chris, we didn't break that out separately. Well the color we did provide is that our investment spending in the first quarter of 2011 was higher than the prior quarter. We definitely see good opportunities in the electronic channels, prepaid, B2B and the core Consumer-to-Consumer money transfer business. But with that said, with that increased investment spending, giving our operation efficiencies, restructuring and then revenue growth, we still were able to expand margins by 70 basis points.
Christopher Mammone - Deutsche Bank AG: Okay. And I guess among those major categories of the e channels, with dot com, and account to cash mobile prepaid, I think, was the investment spending sort of broadly spread out among those areas or was there disproportionate amount in any of the categories?
Scott Scheirman: From quarter-to-quarter, it varies as far as the initiatives, the promotions, the programs that are going on. But I would say, for sure in the core money transfer business, electronic channels, prepaid, B2B, all of those we think are good medium to long-term growth strategies for us. So we've invested in those.
Hikmet Ersek: I think also, under David Yates leadership, the team is doing a good job to focusing on the right approach. Given his background and the team's background, I think the -- plus building on our fundamentals, being on 200 countries and this connection, the cash dot com, cash electronic, I think that's a huge competitive advantage we have there. And so you have the right investments here combined.
Christopher Mammone - Deutsche Bank AG: Okay. And then just a follow up on Account-to-Cash, with U.S. Bank, is that -- it seems like a pretty big breakthrough to us I mean given that this is the first major U.S. Bank the sign on for that. I mean is that the right way to think about this or I mean is it more just like the 46 banks to sign up for the service and I think that in my order of magnitude, this is probably a lot bigger and more significant than like, the Emirates Bank. But tell me if I'm wrong. And then also, could you just share any early expectations? Like is the U.S. Bank going to, have they committed to market behind that to make their customers aware of the service or how that's going to work?
Hikmet Ersek: First of all, I'm very pleased with the U.S. Bank. And yes, the answer is yes. They are dedicated to grow this business with us together and I think I'm very pleased that even in the U.S., also, we are expanding now, account based money transfer. If you recall that our success, as we mentioned several times with Canada, with Scotia Bank or in Switzerland the Swiss Post Bank. I think there are many examples, in Turkey, with the Currency Bank, I think we mentioned that several times in several calls about our success, we are building on that and now we are in the U.S. signing that one of the top 10 banks with U.S. Bank giving the access to the cardholder is a huge step. Other than that also it will take some time, right? You have to connect the host to a host and get the old right IT structure here. But yes, the U.S. Bank is very focused on that.
Christopher Mammone - Deutsche Bank AG: Okay. Thanks, guys.
Hikmet Ersek: Thank you.
Operator: Our final question comes from the line of Tim Willi with Wells Fargo.
Timothy Willi - Wells Fargo Securities, LLC: Thank you. Just two questions. Number one, on the domestic money transfer and that revenue growth and transaction growth, directionally, does that translate, should we think about translating into margin expansion in the U.S. division? Could that you have talked about that generally the U.S. is still one of your highest margin markets? And then I have a follow-up.
Scott Scheirman: Yes, Tim, this is Scott. I would say yes, that is hopeful to profitability or margin expansion the business that of a 30% plus margin profile.
Timothy Willi - Wells Fargo Securities, LLC: Okay. And then the second one was on prepaid and you referenced international expansion plans, I think, in the back half of the year. Could you talk about your expectations for sort of the, I guess, the scale of your Prepaid business with more of a sort of an international and global rollout? Do you still expect to see a pretty nice curve around margin expansion as revenue grows or will in international footprint maybe limit margin expansion relative to the type of revenue growth when we think about that business?
Hikmet Ersek: Tim, given our global presence, our opportunities is huge. The opportunities being in 200 countries and don't forget also that card issuance like having your own bank license in Europe, most of our agent international our banks and post offices, they have the license to issue cards with our brand, with our presence. I think the opportunity is huge to expand the prepaid model. As I mentioned before, we are stocking in the U.K. as a first market, but also other markets are online to expand our presence here and the Western Union brand, the Western Union presence, the customer relationship having 65 million senders and about 100 million receivers, in our portfolio expanding another product to these customers each opportunity.
Timothy Willi - Wells Fargo Securities, LLC: Okay, that's all I had. Thanks so much.
Scott Scheirman: Thanks Tim.
Hikmet Ersek: Thanks, Tim. I just wanted to say to thank you to everyone for joining the call and thank you for your questions also. I just wanted to summarize again that as I mentioned earlier, we are really off to a good start in 2011. There are still some challenges around the world, but our Consumer-to-Consumer business trends are good, Bill Payments is improving, Business Solutions is growing as expected and electronic channels grew to 3% of our total revenue. We are executing against our strategies, making good progress on margins and continue to generate and deploy strong cash flow. So thank you to all who joined us on the call and we hope to have -- I hope that you all have a good evening. Thank you. Bye.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. That does conclude the presentation. You may disconnect. Have a wonderful day.